Operator: Welcome to News Corp's Second Quarter Fiscal 2023 Earnings Conference Call. Today's conference is being recorded. Media will be allowed on a listen-only basis. At this time, I would like to turn the conference over to Michael Florin, Senior Vice President and Head of Investor Relations. Please go ahead.
Michael Florin: Thank you very much, operator. Hello, everyone, and welcome to News Corp's fiscal second quarter 2023 earnings call. We issued our earnings press release about 30 minutes ago, and it's now posted on our website at newscorp.com. On the call today are Robert Thomson, Chief Executive; and Susan Panuccio, Chief Financial Officer. We will open with some prepared remarks, and then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corp's 10-Q filings identify risks and uncertainties that could cause actual results to differ and contain cautionary statements regarding forward-looking information. Additionally, this call will include certain non-GAAP financial measurements such as total segment EBITDA, adjusted segment EBITDA and adjusted EPS. The definitions and GAAP to non-GAAP reconciliations of such measures can be found in the earnings release for the applicable periods posted on our website. With that, I'll pass it over to Robert Thomson for some opening comments.
Robert Thomson: Thank you, Mike. The second quarter produced challenges for some of our businesses and highlighted the progress made in other segments that had been challenged. Obviously, a surge in interest rates and persistent inflation had an impact on all of our businesses, but in particular, Digital Real Estate and Book Publishing, which remains a majority of physical business and continues to be subject to logistical exigencies. But we believe these challenges are more ephemeral than eternal. And just as our company passed the stress test of the pandemic with record preference. The reform is now underway at our businesses should create a solid platform for future profitability. Crucially, we will be reducing headcount across the company by 5%. That is a necessary response given these macro conditions. There are other broader trends that will inevitably be auspicious such as our evolving partnerships with major tech platforms and the incipient changes to the digital advertising market, which should enable us to improve yields for our valuable inventory and have more oversight of permission data. At the same time, we are absolutely focused on reducing costs across our businesses and making price adjustments where prudent. And we are continuing to work on the integration of our recent acquisitions, OPIS and CMA, which are already enhancing revenue and profits at Dow Jones. As for our discussions over the potential sale of Move, we will provide an update at the appropriate moment. Obviously, any potential deal would be designed to maximize value for our shareholders in the short and long term. Looking now at the second quarter of fiscal year 2023. We generated over $2.5 billion in revenues, representing a decline of 7% year-over-year, though most of that was due to foreign currency. Adjusted revenues were down only 3%. Profitability was $409 million compared to $586 million in the prior year, reflecting the challenges of interest rates and inflation noted earlier, and the impact of fickle ForEx movements, which have shown signs of abating in recent weeks. Even in the midst of the obvious global challenges I've described, Dow Jones had a solid quarter, and the professional information business displayed particular promise with revenues surging 45% year-over-year. The result highlights the value of our opportunistic acquisition of OPIS and CMA, where we have recently launched products, including carbon credit indices and are working on more sophisticated analytics for our growing customer base. Risk and Compliance again reported strong revenue growth, increasing 13% despite capricious currency trends, with the demand for New York customer tools expanding as governments globally continue to tighten regulations and wheeled sanctions. The imperative for an authoritative audit trial has expanded far beyond financial institutions and the credibility that Dow Jones brings is in itself an important factor for many companies. Is there anyone on this call who does not want to minimize risk and maximize compliance? Dow Jones has begun to roll out a new user interface for the Aladdin's Cave of content that is Factiva, which is an essential tool for serious businesses. The truth is that the interface was in need of simplifying and the Dow Jones team have addressed that issue. The easier Factiva is to use, the more it will be used. Overall, at Dow Jones, digital revenues now comprise 76% of total revenues, a 4 percentage point rise over the past year. Some of that expansion is due to continuing strength in digital subscriptions. Digital-only subscriptions increased 10%, while total Dow Jones consumer subscriptions rose 5%. In fact, just in recent weeks, total Dow Jones subscriptions sold past the 5 million mark for the first time. Almar Latour and the team are increasing the emphasis on upselling subscriptions with the bundling of Market Watch, the WSJ, IBD and Barron's. The basic strategy is to provide an ever more premium service for our readers as we leverage valuable audiences across platforms. I am particularly proud to highlight the continuing revival of Foxtel's fortune under the Sage leadership of Patrick and Chevron and the team, we have increased profitability and thus optionality. Reported segment revenues were down 7%, while segment EBITDA rose a healthy 5%. Even more impressively, adjusted revenues, which excludes the impact of ForEx volatility, rose 3%, while adjusted segment EBITDA rose a handsome 16%. Streaming continues to be a core strength of Foxtel, as we have added well over 0.5 million paying OTT subscribers in the past year. BINGE reached nearly 1.4 million paying subscribers in the quarter and we'll be launching an advertising tier later this fiscal year as we seek to maximize Foxtel's revenue potential. Total paying subscriptions at Foxtel were up 10% year-over-year, and we also saw the benefits of modest price increases at Kayo and BINGE. Our sports programming portfolio has been enhanced with the renewal of Australian cricket rights to 2031. We are now on the cusp of the peak selling season for Kayo as the Australian Football and Rugby League seasons will start imminently, and we solidified our entertainment offerings with an expanded multiyear content deal with NBCU. Overall, Foxtel's continuing success and positive trajectory have certainly increased our optionality for that business. HarperCollins experienced another difficult quarter, reflecting sluggish spending on books after the pandemic inspired surge, difficult front-list comparisons as well as the continuing impact of Amazon's logistics issues. Under the prevailing circumstances, it is absolutely necessary to confront the cost base as we seek to bolster long-term profitability in the post-pandemic marketplace. Some of our key titles this quarter include Fox News, host Harris Faulkner’s Faith Still Moves Mountains, and Joanna Gaines' The Stories We Tell. While best-selling orders, Colleen Hoover and Tarryn Fisher's work Never Never will be released later this month. The News Media segment showed signs of real resilience in the midst of a volatile advertising market and ForEx headwinds. The standout masthead was the sun.com in the U.S., which reported 127% year-over-year increase in quarterly page views. Meanwhile, the Times and Sunday Times reached nearly 490,000 digital subscriptions in the quarter. And at News Corp Australia, total digital subs exceeded 1 million, representing an 11% rise year-over-year. Wireless had a solid quarter in connected listening, which was assisted by interest in the World Cup on talkSPORT, while TalkTV revitalized its lineup, and the New York Post remains on target for another profitable year despite the air market. As for Digital Real Estate Services, the patent complexities of the current housing market in both the U.S. and Australia are well known and have had an effect on REA and Move. The property market inevitably has interest rate-related cycles. But with rates nearing a peak in both the U.S. and Australia, we believe the next phase of the cycle is not far away. We have this week launched a new campaign to use our media inventory to drive traffic at realtor.com and the positive effect should be seen in coming months. REA continued to maintain its number one market share in Australia this quarter with over 3.3 times the audience of its nearest competitor. And our business in India, now the market leader in audience is showing much potential. While leads were down at realtor.com in the quarter, the business saw a year-over-year improvement in revenue per lead as the team is focused on pricing, sell-through and close rights. We now are increasing our emphasis on the monetization of sell-side listing as inventory time on the market has increased significantly in recent months, and we will be able to provide realtors and vendors with improved service. In closing, while we expect the macro trends to have a continuing effect on our businesses and are committed to a 5% reduction in our workforce, we are confident that the combination of prudent cost management, sound capital stewardship, commitment to digital expansion and simplification should provide a firm foundation for future growth. And we will remain acutely focused on the creation of value for our shareholders as the possible sale of Move eloquently testifies. We also remain firmly committed to our $1 billion share buyback and dividend program. And now for more granular account of our second quarter, I give you over to Susan Panuccio.
Susan Panuccio: Thanks, Robert. Before I discuss the quarterly results, I want to expand on Robert's opening comments. As we noted in our recent SEC filing, we have been engaged in discussions with CoStar about a potential sale of move. Any potential transaction would need to not only maximize shareholder value, but also strengthen realtor.com's competitive position. We do not plan on making additional comments on this call regarding the potential transaction, and we'll update the market when appropriate. Turning to our fiscal 2023 2nd quarter results. The macro environment weighed heavily on the financial results and conditions worsened as the quarter progressed, most notably in December. Second quarter total revenues were over $2.5 billion, down 7% year-over-year, which included a $171 million or 6% negative impact from foreign currency headwinds. We -- excluding the impact of foreign currency fluctuations, acquisitions and divestitures, second quarter adjusted revenues fell 3% compared to the prior year. The revenue decline was primarily driven by the Book Publishing and Digital Real Estate Services segment. On a constant currency basis, we saw continued growth in circulation and subscription revenues, which was partially offset by a modest decline in advertising revenues. Total segment EBITDA was $409 million, 30% lower compared to the prior year's record profits. The results included $6 million of onetime costs incurred by the special committee and the company regarding the proposal from the Murdoch Family Trust, which has now been withdrawn and the special committee has been dissolved. Adjusted total segment EBITDA declined 28% versus the prior year period. For the quarter, we reported earnings per share of $0.12 compared to $0.40 in the prior year due to lower total segment EBITDA and higher losses from equity affiliates. Adjusted earnings per share were $0.14 in the quarter compared to $0.44 in the prior year. Moving on to the results for the individual reporting segments, starting with Digital Real Estate Services. Segment revenues were $386 million, down 15% compared to the prior year, impacted by the ongoing macroeconomic pressures on both the Australian and U.S. housing markets. The results include a negative impact of $26 million or 5% from foreign currency fluctuations. On an adjusted basis, segment revenues decreased 10%. Segment EBITDA declined 28% to $128 million, impacted by lower revenues and a negative impact related to currency headwinds, partially offset by lower broker commissions REA adjusted segment EBITDA declined 22%. REA revenues were $240 million, down 16% on a reported basis, including a 9% negative impact from foreign exchange. Revenues were impacted by the weakness in financial services due to fewer settlements amid rising interest rates and a decline in residential revenues driven by lower new buy listings. In the quarter, Australia national residential buy listings were down 21% with Sydney and Melbourne down 34% and 31%, respectively. Those declines were partially offset by price increases in the residential and commercial businesses, higher contribution from Premier Plus and favorable depth penetration as well as continued momentum at REA India, which is scaling in both traffic and revenues. Please refer to REA's earnings release and their conference call following this call for more details. At Move, revenues were $146 million, down 14% compared to the prior year, with real estate revenues down 17% driven by lower lead and transaction volumes, reflective of the broader housing market challenges, unique lead volumes fell 37%, while Realtor's average monthly unique users were $66 million in the second quarter based on internal metrics. Turning to the Subscription Video Services segment. Revenues for the quarter were $462 million, down 7% compared to the prior year on a reported basis due to foreign currency headwinds. On a constant currency basis, revenues rose 3% versus the prior year, the fourth consecutive quarter of growth in constant currency, underscoring the improved stability of the business. Streaming revenues accounted for 26% of circulation and subscription revenues compared to 19% in the prior year and again, more than offset broadcast revenue declines, benefiting from both volume growth and higher pricing at Kayo and BINGE, we also benefited this quarter from growth in commercial revenues as the prior year results were impacted by the pandemic-related lockdown. Total closing paid subscribers across the Foxtel Group reached over $4.3 million at quarter end, up 10% year-over-year. Total paid streaming subscribers were approximately $2.7 million, increasing 25% versus the prior year and represented 62% of Foxtel's total paid subscriber base. Kayo paying subscribers reached over $1.1 million, up 11% year-over-year, but declined sequentially from the first quarter as it exhibited typical seasonal patterns with the end of the AFL and NRL seasons in September. Given its enhanced and expanded content offerings, Foxtel has rolled out a price rise to its Kayo customers effective this month on its basic to stream tier. BINGE paying subscribers grew a robust 48% year-over-year to almost 1.4 million subscribers, benefiting from a strong release slate, which included the second season of white Lotus and carryover demand from House of the Dragon. As Robert mentioned, we are looking forward to the introduction of advertising within BINGE later this fiscal year and have begun selling launch packages. Foxtel ended the quarter with 1.4 million residential broadcast subscribers, down 10% year-over-year. Broadcast churn improved sequentially and year-over-year to 12.9% despite the migration of cable subscribers to streaming or satellite. At quarter end, less than 80,000 subscribers remained on cable as Foxtel continues to migrate subscribers from cable by fiscal year-end. Broadcast ARPU rose 2% to AUD 83. Segment EBITDA in the quarter of $90 million was 5% higher versus the prior year, which reflects an 11% negative impact from foreign exchange. Adjusted segment EBITDA increased 16% despite higher sports and entertainment costs. Moving on to Dow Jones. Dow Jones posted a strong top line performance in the second quarter with revenues of $563 million, up 11% compared to the prior year. Digital revenues accounted for 76% of total revenues this quarter, up 4 percentage points from last year. On an adjusted basis, revenues rose 1%, impacted by a weaker advertising marketplace compared to the prior year. Circulation revenues grew 3%, driven by strong year-over-year volume gains, including bundled offerings with total Dow Jones digital-only subscriptions up approximately 10% to over $4.1 million. We are particularly pleased with the performance of our professional information business, which saw revenue growth accelerate from the prior quarter to 45%. PIP revenues accounted for 33% of segment revenues. The integration of OPIS and CMA are progressing in line with our expectations as the businesses benefit from the strong demand across numerous industries, including metals, carbon plastics, sustainability, biofuels and renewables, while yields continue to rise and retention remains strong. Risk and Compliance revenue growth accelerated from the prior quarter, up 13% despite a 7 percentage point negative impact from foreign currency. We saw improved growth in all regions, underpinned by a healthy new business pipeline most notably in EMEA, led by demand for screening and monitoring and financial crime search products. Retention remains strong at above 90%. Advertising revenues declined 7% to $131 million, with digital advertising revenues down 3% in the quarter and print down 13%, which was mostly due to weakness in December, with October and November reasonably stable versus the prior year.  Digital advertising accounted for 59% of total advertising revenues, which improved 3 percentage points from last year. The technology and financial categories, which are typically our 2 largest advertising categories were both impacted by the macro conditions. We saw digital advertising growth at the wallstreetjournal.com, underscoring its premium audience. However, this was more than offset by the declines at MarketWatch, which face more headwinds as its audience and advertising demand tend to be more stock market-sensitive. Dow Jones segment EBITDA for the quarter declined 3% to $139 million, reflecting a higher spending rate compared to both the prior year and first quarter, driven by costs related to the OPIS and CMA acquisitions, higher compensation costs and phasing of marketing expenses. Adjusted segment EBITDA for the quarter was down 16%. We expect cost growth to moderate in the second half, and I will provide more detail on this later in my commentary about the outlook for the upcoming quarter. At Book Publishing, while we saw some impacts from the logistic constraints at Amazon, the results were mostly hampered by significant softness in consumer demand across the industry, notably in North America. On the cost side, lower cost due to volume declines were partially offset by ongoing supply chain inventory and inflationary pressures, further contracting margins. For the quarter, revenues declined 14% to $531 million and segment EBITDA declined 52% to $51 million. The backlist represented 57% of revenues, up slightly from last year, partly driven by weaker frontlist performance with the mix being more weighted towards physical copies rather than digital, which had an adverse impact on margins. Digital sales declined 7% this quarter and accounted for 19% of consumer sales. On an adjusted basis, revenues fell 11%, and segment EBITDA declined 51%. To mitigate the recent challenges, HarperCollins has already implemented price increases and has been actively reviewing its cost structure, including the recently announced 5% company-wide headcount reduction. Turning to News Media. Revenues were $579 million, down 9%, which included a $65 million or 10% negative impact on revenues from foreign currency. Adjusted revenues rose 1%. Circulation and subscription revenues declined 7%, but were up 4% in constant currency. Growth on a constant currency basis was driven by cover price increases in the U.K. and Australia and double-digit subscriber growth across News Australia and The Times and The Sunday Times. We saw advertising conditions worsened from the prior quarter, albeit with variance across our markets. Advertising revenues were down 13%, but down 3% in constant currency. Advertising at News U.K. was down modestly in constant currency as lower print advertising revenues were partially offset by strong growth in digital advertising at -- the Sun, which has seen very strong momentum in both page views and yields from its U.S. site. Advertising trends were notably weaker in Australia and at the New York Post. During the quarter, we saw that December was the weakest month for both the U.K. and the New York Post, while in Australia, November was the most challenging with December showing modest improvements month-over-month. Segment EBITDA of $59 million declined 47%, which was driven by approximately $22 million of higher costs related to the Talk TV initiative in the U.K. and other digital investments, notably in Australia as well as nearly $21 million negative impact from higher newsprint pricing. New York Post remained a positive contributor to segment EBITDA. Adjusted segment EBITDA fell 43%. Free cash flow for the 6 months ending December 31 was lower than the prior year due to lower total segment EBITDA as well as the timing of working capital payments, which included the payment for sports rights in the second quarter. We remain focused on driving strong and positive free cash flow generation for the year. Turning to the outlook. We continue to expect a higher cost due to supply chain and inflationary pressures, advertising conditions remain challenging and visibility is limited. We expect ongoing foreign exchange headwinds, albeit at a more modest impact given recent spot rates. We remain committed to reducing costs where we can, driven by headcount reductions across our business units, prioritized marketing spending and lower discretionary costs, while balancing investment spend. Looking at each of our segments. Our digital real estate services, Australian residential new buy listings for January declined 9%. Please refer to REA for a more specific outlook commentary. At Move, we expect lead volumes to remain challenged in the near term, due to macro conditions, albeit moderating mortgage rates have led to early signs of improving trends in the housing market. In Subscription Video Services, we remain pleased with the performance of the streaming products and the ongoing focus on broadcast ARPU and churn as we continue to migrate customers off cable. We are very encouraged by the year-to-date performance and continue to expect the Foxtel Group's profitability in local currency for the full year to be relatively stable. Profitability will be skewed to the fourth quarter as we expect third quarter cost to be higher in local currency compared to the prior year given the contractual escalators and expanded content from the AFL and NRL. At Dow Jones, we remain focused on the integration of OPIS and CMA. January advertising trends were similar to December with revenues down versus the prior year, and we expect trends to remain challenged, especially given the ongoing pressures within the technology category, noting that visibility is limited as usual. As I mentioned earlier, we expect the rate of investment spending growth in the second half to be more modest than the first half rate, which should aid profitability. In Book Publishing, we are optimistic about our new release, which should help with the performance in the second half, although near-term industry trading conditions have remained challenged. At News Media, similar to the second quarter, we expect ongoing inflationary cost pressures, especially on newsprint prices, which will be balanced by targeted cost initiatives. We will continue to see incremental costs in relation to product investments, albeit at a lower rate than the second quarter. And finally, in relation to the potential sale of Move and the special committee's work on the now withdrawn proposal, we expect to see some additional onetime transaction costs in the third quarter. With that, let me hand it over to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from Kane Hannan from Goldman Sachs.
Kane Hannan: Just 2 quick ones. One, just that $0.05 head count reduction you're talking about, I mean we saw the 5% reduction for books -- do we think that's broadly consistent across the News Corp group? Or could it be more skewed to Dow Jones or NIS or some of the other segments? And then try luck, obviously seen the move and I take your comments, Susan, or how do I think about the importance of REA in the broader portfolio, if we assume that the Move -- was complete. And so some of the synergies of owning REA would diminish without the Move asset in the portfolio. So just interested, there's any comments you can make that.
Robert Thomson: Okay. First of all, the 5% reduction will be across all businesses, and it will be conducted in coming months with a view to concluding this calendar year. We expect savings of the order of at least $130 million annualized. As for REA, what I can say is that REA is a core part of our portfolio. It's a different company to Move the -- and you can do the math for what REA is worth to us in terms of market cap, which is around AUD 16.6 billion and our shares around 61.4%. Obviously, we all loan -- gratitude for his digital property. But we're very pleased with the way the business is progressing. You heard a little from Susan about the success that we're currently having in India where traffic was up 37% to 38 million uniques. And we've transferred the oversight of the India business to the REA team whether you expertise evidence and candidly, the time zones more sympathetic. So not only do we have the most successful property site in Australia. We have the largest digital property side in India. So tell me what that's worth now and what that will be worth in a decade from now. .
Operator: Our next question comes from David Karnovsky from JPMorgan.
David Karnovsky: With Book Publishing, wondering if you could quantify the Amazon impact in the quarter or maybe relative to last quarter. And then you noted a slowing consumer demand generally -- is that a function of post-pandemic behavior of the economy or just the titles that are in the market? And then Susan, any update on when you might expect some easing on the inflationary pressures there?
Robert Thomson: Well, first of all, it's difficult to specifically identify or quantify the Amazon effect, I wasn't to say that it's real. And you can see from the fact that there was a 14% decline in revenues and will segment EBITDA fell 52%, that the impact of inflation generally was profound. But let's be very clear, this is not the new normal. The relatively large EBITDA fall shows inflation, which over the past year, has risen significantly had an impact. And it was because of the mix of titles, you've probably heard that physical was around 81% of the business in the most recent quarter. In the past, years, digital has been as much as 24% or 25%. So -- and the physical is obviously more impacted by inflationary pressures given paper, printing and distribution. Susan? 
Susan Panuccio: David, just in relation to Amazon, just to add a couple of points on that. One, we did see a slightly lower impact in Q2 than what we did in Q1. And actually, in January, we have seen Amazon sort of patterns return to relatively normal levels, albeit that is predicated on macro conditions going forward. Just in relation to inflation, unfortunately, I think we expect those inflationary impacts to continue through the balance of this fiscal year, which is one of the reasons that we've implemented the headcount reductions that we've talked about.
Operator: Our next question comes from Craig Huber from Huber Research.
Michael Florin: Craig.
Operator: [Operator Instructions]
Craig Huber: Two questions if I could real quick. If you can hear me, in your equity investment line, you had like a $29 million loss there. Can you explain that, if you would, please, is that -- is there sort of recurring here for next few quarters? And separate from that, I want to ask you, CMA and the OPIS acquisitions, what was the organic revenue growth there if you had owned it in both periods, please, in the quarter?
Susan Panuccio: Craig, I'll just -- I'll take these. So the first question in relation to the equity losses, we've actually got a small investment in a wagering platform down in Australia, the sub USD 50 million investment, and the quarter reflects some start-up losses in relation to that venture. I think importantly, we don't expect that equity loss reflected in Q2 to the run rate going forward? And then just in relation to OPIS and CMA, we don't break out the run rate for that going forward. But you can see from the adjusted revenues was up 1%, and you can see the impact of what the reported numbers were.
Operator: And then our next question comes from Entcho Raykovski from Credit Suisse.
Entcho Raykovski: Susan. Just one very quick clarification around the 5% head count reduction and I'd appreciate that must be a difficult decision. Presumably, that only applies to the wholly owned assets and not REA. And then just secondly, I appreciate you're not talking about the sale move specifically. But assuming it was to go ahead, how do you think about the use of the proceeds, given they could be reasonably material. Are you thinking about reinvestment? Or are you thinking about further returns to shareholders?
Robert Thomson: And sure, obviously, REA is a separate listed company, but I think I can assure you that they are very much focused on cost reduction in the present climate and you'll be able to hear more from the REA team a little later. Look, I can only speak generally about capital allocation. We're constantly reviewing our capital allocation policies. As I said earlier, we're committed to our $1 billion buyback to our dividend program. And obviously, we're going to consider further measures given the potential proceeds of the Move deal and the savings inherent in the cost-cutting program we've announced today. But we'll also be opportunistic on investment as OPIS and CMA providential proved and we'll seek to share those profits that providence with shareholders.
Operator: Our next question comes from Alan Gould from Loop Capital.
Alan Gould: Yes. I've got two, please. Robert, we're seeing the U.S. streaming companies sort of get religion and now looking for profits as opposed to just growth. How does that impact Foxtel? I know Foxtel had gotten a lot of its content from HBO and some of the other U.S. companies. So does it now appear that, that content will stay on Foxtel as opposed to those companies that are starting their own streaming areas? And secondly, you talked about 1 of your policies being simplification. Obviously, selling move would help for simplification, but are there any other simplification moves we're seeing?
Robert Thomson: Well, first of all, I think we've spoken on past calls about the prospect of Imperial overstretch among some of the U.S. entertainment companies. I think that prognostication is indeed coming to pass. And it also shows you the value of the Foxtel platform. It's of itself clearly a success story, not only for our company or for Australia, but globally. They've got the streaming mix right they've secured the sports rights long term truly matter to viewers and not only one sport in one region, but across sports and regions. And looking here from New York Foxtel genuinely being transformed by much toil and sustained sagacity and it has evolved from what you might call euphemistically, a complicated situation to a genuine opportunity, and we will be opportunistic with that opportunity.
Alan Gould: And then the question on. Simplification. .
Robert Thomson: As for simplification, look, simplification and transparency, obviously important, as you can see by how the company is involved in recent years. We've broken out the Data Jones numbers, which shed some light, not only on its potential and potency, but on the situation of and revival of News Media, as you know, the New York Post was profitable last year and will be likely to be profitable again this year, and that profitability should increase over time. And -- you know that in that sector, we've sold News America Marketing, which became more peripheral over time given the changes in that sector. The peripheral is we're not the integral. But simplification does not mean reductio ad observers. And it does mean focusing on core growth engines which is why we've invested in the professional information business at Dow Jones and the fruits of that investment already obvious, even in difficult trading conditions overall.
Operator: Our next question comes from Brian Han from Morningstar.
Brian Han: Robert, you mentioned making price adjustments were necessary. Where do you see the priority divisions for such adjustments from this point onwards?
Susan Panuccio: Maybe I can take that, Brian. I mean, look, I think we've all -- we've got opportunities in each of our segments. We take cover price increases as it pertains to the mastheads across news media, the journal, we're constantly having we get our yields on advertising to see what we can do to maximize those. As I've mentioned in my commentary, we've just recently announced is at Kayo that goes to the strength of the product down there. We had a price rise on BINGE not so long ago. And we've also been having a look at price rises across. So actually, we have a lot of pricing power and we think about our different segments, and we really just assess the market conditions as we work our way through what's appropriate.
Operator: Next question comes from Johnny Huynh from Evans & Partners.
Johnny Huynh: I just wanted to ask on the interest in the advertising per and being so far. Like I know Netflix had some issues launching in Australia. We've done two high demand, but not enough audience. So I just wanted to see your thoughts on any strategies around this as well.
Susan Panuccio: Look, I think we're just doing a soft launch in relation to the ad tier down in Foxtel. It hasn't yet launched. So we haven't got any learnings from that, and we just expect a modest uptick in the current financial year as a consequence of that launching later in the fiscal year. So we'll have more learnings from that once we've got it out in the marketplace.
Operator: Our next question comes from Darren Lung from Macquarie.
Darren Leung: I just wanted to ask quickly, in the release, it indicates some in relation to Realtor or Move that as part of the transaction is to create shareholder value and strengthen Realtor’s competitive position. So I appreciate not talking about the transaction as such. But can you give us an idea as to what strengthened competitive position looks like, please?
Robert Thomson: Look, sorry, Darren, to be so circumspect, but we really can't say any more about the discussion so you'll have to stay tuned. You can presume that we are very much focused on shareholder value and we would have an ongoing role in value creation. Those are imperatives and always been the imperative of News Corporation. I have to say in passing, and we have much respect to CoStar as a company, its leadership, what they've created, what they could trade what they could do for competition in a very competitive digital real estate market here and frankly, how we could partner with.
Susan Panuccio: And look, I think I'd also add that it is important for us if and when we complete any sale, what actually goes to an owner where we believe we'll continue to invest and grow that business going forward. I think that's important for any assets that we look to sell. .
Operator: At this time, we have no further questions. So I'll hand back to Michael Florin for closing remarks.
Michael Florin: Great. Well, thank you, Leyla and thank you all for participating. We look forward to talking to you soon. Have a wonderful day to talk to you soon. Bye.